Operator: Ladies and gentlemen, thank you for standing by. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Veeva Systems Fiscal 2025 Fourth Quarter and Full Year Results Conference Call. [Operator Instructions] Thank you. And I would now like to turn the conference over to Gunnar Hansen, Director of Investor Relations. You may begin.
Gunnar Hansen: Good afternoon, and welcome to Veeva's fiscal 2025 fourth quarter and full year earnings conference call for the quarter and fiscal year ended January 31, 2025. As a reminder, we posted prepared remarks on Veeva's Investor Relations website just after 1:00 p.m. Pacific today. We hope you have had a chance to read them before the call. Today's call will be used primarily for Q&A. With me today for Q&A are Peter Gassner, our Chief Executive Officer; Paul Shawah, EVP, Strategy; and Brian Van Wagener, our Chief Financial Officer. During this call, we may make forward-looking statements regarding trends, our strategies and the anticipated performance of the business, including guidance regarding future financial results. These forward-looking statements will be based on our current views and expectations and are subject to various risks and uncertainties. Our actual results may differ materially. Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on Form 10-Q. Forward-looking statements made during the call are being made as of today, March 5, 2025, based on the facts available to us today. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Veeva disclaims any obligation to update or revise any forward-looking statements. We may discuss our guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. On the call, we may also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release and in the supplemental investor presentation, both of which are available on our website. With that, thank you for joining us, and I'll turn the call over to Peter.
Peter Gassner: Thank you, Gunnar and welcome, everyone, to the call. The fourth quarter was a strong finish to a great year for Veeva, with strength across the business and results above guidance. Total revenue in the quarter was $721 million, with non-GAAP operating income of $308 million. For the year, total revenue was $2.75 billion, and non-GAAP operating income was $1.15 billion. This past year was a significant year for Veeva. We executed well and delivered significant innovations across all product areas and make great progress on our AI strategy. The year was also about looking forward. We set our 2030 revenue goal of $6 billion, which reflects the significant opportunity we have ahead, and we announced our planned expansion into new markets. We'll now open up the call to your questions.
Operator: [Operator Instructions] And your first question comes from the line of Joe Vruwink with Baird. Your line is open.
Joe Vruwink: Hi. Great. Good afternoon. I guess, first, congrats on the top 20 customer that went out in with Veeva in clinical after you mentioned seeing these opportunities last quarter. I wanted to ask, I think there's maybe a trend in the large pharma community to perhaps reduce procurement risk and consolidate around strategic vendors. Is that part of why these opportunities are now arising? And how do you generally think about large strategic transactions like this when thinking about what you might see in the upcoming year?
Peter Gassner: Hi, Joe. This is Peter. I'll take that one. I think this is really about - for this particular customer, this is really about speed just more efficient to make a combined decision for the full clinical platform in a better way to align their different clinical teams onto a shared goal and shared technology. So I didn't sense any risk avoidance in this particular case. And in general, for the top 20 pharma, they're more with us focusing on competitive advantage, speed, compliance, not really a risk avoidance. Also, there's some desire to somewhat standardize because they know in the clinical area, the more they standardize together it will make it easier for the clinical research sites they deal with. Now I wouldn't draw any particular conclusion to other customers. It is the one pattern would be we are getting more strategic with our customers as ours. We have more product solutions and more of our product solutions are proven. But each of the top 20 is going to take a different path. This is due to just where they are in their technology journey and also where they're at in their pipeline and the things they need to accomplish.
Joe Vruwink: Okay. That's great, Peter. Thank you. And then I wanted to ask just on recent industry developments, even though I think recently, there was even some news overnight just now in terms of research funding. But Veeva has always been kind of very thoughtful. I remember back when the IRA was approved, you were very early in addressing what drug price legislation might be in - I guess, along those same lines, if there are changes to indirect research funding, how do you think about potential knock-on effects over time what customers might be thinking about and then how that ultimately impacts Veeva?
Paul Shawah: Yes. Joe, it's Paul. And yes, we're certainly paying attention to what's happening around research funding. But I'll take your question maybe a little bit more broadly. There's certainly a lot that's happening, right? There's a lot of proposed changes across many different areas. We're seeing changes in the news daily about FDA or NIH or price negotiations. So there's a whole lot going on. It's early, right? It's a little bit early to predict exactly what the impact may or may not be. One thing I can tell you is our customers - there's really no impact that to our customer decision-making process so far. So we're not really seeing any change there. We're going to have to see how things play out, particularly as it relates to the answers. There's just a lot of factors that come into play. It's super early to predict. I guess maybe two things that I might point out for you, though, our Life Sciences is generally more resilient to economic cycles or potential changes that you're talking about, because it's an adaptable industry. They're accustomed to these kinds of changes. And then as it flows through to Veeva, our revenue tends to be more predictable, right? It's core systems, it's annual subscriptions. Projects may get delayed. But if there is disruption due to something like this, those projects typically come back. So it's early to give you a detail assessment of what the impact looks like, but it's something we're keeping our eye on closely.
Operator: And our next question comes from the line of Saket Kalia with Barclays. Your line is open.
Saket Kalia: Okay. Great. Hi, guys. Thanks for taking my question here. Peter, maybe for you. I thought, it was interesting in the prepared comments how you called out 17 of the top 20s using CTMS, which I think replicates some of the success that you've had with eTMF. As you think about the growing success with different parts of the Development Cloud, what of the products could that success in eTMF and CTMS maybe pull through as you think about sort of the next sort of product cycles here?
Peter Gassner: Thanks, Saket. Yes, that's very insightful let out. The industry, the top 20 seem to be standardizing on our eTMF and CTMS. I think for good reasons. These are innovative products that fit together. And if we step back, that was an innovation that Veeva created. These systems never got together before Veeva. It was a document system way over someplace else and that transactional system, someplace else. The Veeva Vault platform enabled this transition, and I was there in the beginning when people sort of called us heritage, right? These things don't - you cannot put peanut butter and jelly together. It's not going to be good, right? But - now it obviously enables a seamless flow. So they are standardizing on that, and we have to keep up the good work and the customer success we can't rest on our laurels at all, and we're not so far. But your question is what can it lead to? That leads to the broader clinical suite and you saw that with one top 20, which is thing's like study training and Site Connect. These are both major applications very deeply connected with the CTMS and eTMF payments module and we'll be doing further investments there. That payments product can become a suite of products for Veeva. And then that also leads into the clinical data management. The EDC, CDB also these big new areas of RTSM, randomization and trial supply management, and also the eCOA, Electronic Clinical Outcome Assessment. Just to give a perspective, roughly speaking, I wouldn't hold a ruler up to this. But roughly speaking, EDC is one of our larger product line areas, larger opportunities. But our RTSM is roughly equivalent to EDC. And eCOA on its own roughly equivalent to EDC, so these are not small areas, big areas. Clinical is roughly one-third of our opportunity, our TAM because it's such an important area. And there's a long way to go and eTMF and CTMS success, not just selling the product in, but the success and the fact that our implementations are getting faster and faster, our implementations now are faster than they were before. And that's really what people are looking off into Veeva. And I know, I'm going a little long on this, but that's an insightful question. Sometimes the question is I'm going to go to Veeva, but how can I get there the fastest and the most economically and the most accurately. And we're much better at that than we were two or three or four years ago.
Saket Kalia: It makes a ton of sense. Brian, maybe for my follow-up for you, just building off of what Peter talked through. I was wondering, if you could just touch on CDMS or EDC. I was wondering, if you could just touch on how that's contributing to billings in fiscal 2026? You had some big top 20 wins in EDC a couple of years ago. And if I recall correctly, those are ramping contracts. How do you think about that contribution in fiscal 2026? And maybe the corollary that since we're at the end of year and to make sure the question is asked, as you build scale in that EDC business, is there anything that - is there a finer point that you could give us just on relative size of that business?
Brian Van Wagener: Hi Saket, thanks for the question. So as you just heard Peter speak to – about one-third of our overall TAM is in the clinical space. So it's certainly a large opportunity. And within that, EDC is a pretty significant component. We're very pleased that in the quarter, we had our ninth of the top 20 committed EDC and we've had a steady advancement in EDC with top 20. So from a ramp perspective, there are ramps that are steadily contributing to our revenue base, both to billings and to revenue, and ramps are not limited to EDC. So we see that dynamic with top 20 customers in really all of our R&D products. So there's no one product, no one customer, no one year where that really spikes, but it’s factor into our guidance for FY 2026.
Operator: And your next question comes from the line of Brent Bracelin with Piper Sandler. Your line is open.
Brent Bracelin: Thank you for taking the question here. Peter, great to see the momentum. Great to hear the peanut butter and jelly narrative is actually starting to work. I wanted to drill down into Data Cloud. You really brought up the point in the prepared remarks that Compass represents the biggest single data opportunity for you. You got over 100 brands here. I think a year ago, nine months ago, you talked about your first seven-figure customer. What's the momentum you're seeing on the expand side? Are you seeing larger seven-figure deals? I asked because, obviously, a lot of those Compass customers can start small, but would love to get any color you had on larger transactions, any expansion opportunities you're seeing? Thanks.
Peter Gassner: Yes. For Compass, and if I go up one level to Data Cloud, I think that's probably the biggest change I've seen in the last six months in terms of tone is more interest in cloud overall. Now that doesn't translate into deals or revenue right away, but we've organized internally a little bit more around Data Cloud, which is – that’s Compass, that's OpenData, that’s Link and that's Pulse, a new product we just announced. So I think that - we're getting that vision out there, and I think starting to resonate. That like going back to eTMF and CTMS back in 2018. That's the way I feel that. People are starting to get the glimmer of, okay, that might really work. Now in terms of Compass, most of our progress in Compass is on – we have two main products there, Compass patient and Compass prescriber, most of our progress in revenue and our earlier product is in the Compass patients. And no, we haven't seen really a trend to ELAs yet. We're still on the brand by brand. I think that trend to ELAs large enterprise ELAs. We might be a year or so out for that, but the trend is kind of escapable. I also think I'm very excited about bringing this value of data cloud into the smaller market. Companies are under 50 employees, because when you think about it, they critically need data. They have to decide, are they going to run this clinical trial? Which indication are they going after? How are they going to do this? What's the patient pathway? And they really don't have a good source of that data. So I want to make something great for these small companies, really great, really easy, integrated patient and prescriber data. I think we can really help boost the life sciences industry around that. So as you can tell, I really think we've got something in data cloud, but the adoption is early.
Brent Bracelin: Color there. And then, Brian, just a follow-up for you, the full year margin guide here, highest we've ever seen. That comes at a time where you're investing in R&D you have kind of the whole investment focus around Vault CRM, additional products here. What's driving the guide here above the 42% op margin? Thanks.
Brian Van Wagener: Yes, great question. So the main way that we think about margin is investing the right amount in the business. So we've always thought about growth and profitability and don't really view those in conflict with each other. So what you're seeing is that we're always trying to get more efficient, and it's because that efficiency allows us to execute better and faster. We find that, lean teams are more agile. They've got better speed. And so we think there's going to continue to be efficiency and economies of scale. But what we're optimizing for and what you're seeing reflected in the guide is that we're optimizing speed and execution, not margin. So we're continuing to invest in the business for growth. We're spending about twice on product, but we do on sales and marketing and keeping that focus on product excellence and innovation in our products.
Operator: And your next question comes from the line of Rishi Jaluria with RBC Capital Markets. Your line is open.
Rishi Jaluria: Oh wonderful. Thanks so much for taking my questions. It's nice to see continued momentum in the business. Maybe I want to start with the AI offerings that you've built out. Peter, maybe if you were on the tape back a year, there was a little bit of a perception from the investment community. That you were coming off as maybe a little bit skeptical on GenAI, but now you've come out with a lot of these products. Maybe can you walk us through kind of what's driven the desire or the momentum to push out these products kind of quickly? And what does early customer feedback and use case has been? And then I've got a quick follow-up.
Peter Gassner: Yes. AI strategy is certainly captivating technology, right? So much money going into it, so much progress and so much high and if we just stay at that level, I'm really pleased that things are starting to shake out roughly how we thought they were going to take out. There's not going to be one large language model, there are going to be multiple. There's not going to be 50, but there's going to be a good handful. And they're going to specialize in different areas. And it's not so unstable anymore, where you wake up and everything changes, right? Deep Sea came out, came out, yes, well, guess what? The world keeps turning. NVIDIA is going to have their, own model, okay? That's okay, and the world keeps turning. So I think it's starting to settle out at in Amazon, people were counting them out on AI for a while. Well, let's say, they're back in the game in a major way. So it's selling out that these core large language models are going to be at the platform level and the real a lot of core value. And that's super valuable, right? That's not where companies like Veeva play at that core infrastructure level, it's very valuable. But there's a lot of great value on specific use cases on top that can be used in the workflow. So that's what we're doing now, focusing on our AI solutions. We have our eTMF Bot to classified documents. That was a very early sort of experiment. Now with CRM Voice Control that we'll be bringing out this year, and also CRM Bot and the MLR Bot to medical legal regulatory review, and we have quite a few others in the plan, too. We don't know exactly which ones we'll bring out when, but we have - we're putting more investment in AI solutions. We centralized the group around that, so we can develop. I have a strong leader there and develop more core competency around AI. And I think our timing is just right because the base of the technology is not stable enough. And while that base was getting stable and instead of running around and typing things, we were focusing on things like EDC and eTMF, et cetera. So I'm pretty happy with our - how things are playing out with AI.
Rishi Jaluria: All right. Wonderful. That's really helpful, Peter. Thanks. And then maybe wanted to get a sense. I know still really early, but at the Analyst Day prior to the last quarter, you did talk about this potential move or planned move into horizontal apps now that we've got three or four months under our belt, and you've been talking to your existing customer base, I imagine your engineering team. Just how have those discussions shaped out? Where have you seen where there's opportunity for you in the market? Anything that you're willing to share would be really helpful right now? Thanks.
Peter Gassner: Yes. I'll start with our existing customers. They have asked a little bit what will we do in new markets, but not so much because they know we have a dedicated - almost everybody in the company is on life sciences. So they really think of Veeva in life sciences. And I'm more curious anything else will come up. What will we come out with. And then in terms of the product areas, we're just doing a lot of great work on the platform. It's a really lean, really great team, very close to me, right. It has a good leader there. I'm having so much fun. Reviewing the individual engineers that grow into that group and making sure we got the special soft of the right seven people, the right 12 people doing what and what order. So I'm really enjoying that. And we're focused on innovation in that platform. If you look at the application tech platforms, and that's something I know about all the way back from people saw Salesforce, et cetera. Most of the cloud application platforms now are really Version 1. And maybe there's a need for a Version 2 type of thing, maybe or maybe not. But that's the risk we're taking that we think there's a Version 2 type of thing that can come out. That's where we're focused, and we haven't - we don't have anything to announce at this time about which application area we're going into.
Operator: And our next question comes from the line of Ken Wong with Oppenheimer. Your line is open.
Ken Wong: Great. Thanks for taking my question. Peter, good to see the momentum on the EDC side with another all-in customer. Just wanted to circle up on just the competitive landscape there. You had a competitor call out a potential win back, are you guys sensing any changes in the customer conviction for EDC, CDMS, any color there would be great?
Peter Gassner: Yes, in terms of the competition there in the clinical, there was the Medidata and Oracle in the EDC area, not so much in the clinical operations area. I think increasingly, people - they do want an integrated system between clinical operations and clinical data management or the EDC area. I think that gives us a bit of a structural advantage over our competitors. We have nine out of the top 20 doing EDC now and about half came from - there was Oracle and Medidata about half came from each. So - but we're trying not to focus on that a lot, right? We really need to focus on the value. Sometimes I look at all the clinical trials that are running on our platform. In some of the really innovative companies that are growing so much and doing so many clinical trials. That's where our focus is. How can we make that even more efficient, even more efficient? And then looking towards 2030, we reset our goals, as a company, 2025 goals to 2030 goals and really starting to think about if we would have most of the market in the EDC one day. What kind of innovation can we do to put on top of that to really, really fundamentally change clinical trials? So our focus is not on the competitor. It's on us doing a great job catching the remaining part of that market share. But I'm already thinking ahead what amazing innovation can we put on top of that once we've standardized this. Core EDC a little bit more.
Ken Wong: Got it. And Brian, just a quick question on cash flow guidance. looked a little light relative to the billings growth. I think we were calculating about 8% growth on cash flow versus you got 10% on billings and some slight margin expansion. Any onetime items or some working capital movements that we should be aware of there?
Brian Van Wagener: Yes. The main thing there, we see a pretty standard relationship between our operating margins and operating cash flow. The main two differences obviously are taxes and then SBC, stock-based comp. The onetime difference we had last year is we had about a $50 million impact of collections pushing from the prior year. So what you're really seeing is just a harder year-over-year compare rather than anything else.
Operator: And your next question comes from the line of Brian Peterson with Raymond James. Your line is open.
Brian Peterson: Thanks guys. Congrats on the solid billings. It definitely sounds like it's peanut, butter, jelly time. But I'll keep it to one, Paul. The prepared remarks referenced some expected Vault CRM commitments from top 20 customers in 2025. I'm curious, how have the decision timelines gone versus your initial expectations? And would you expect 2025 to maybe be a bigger year or 2026. Any color there?
Paul Shawah: Sure, Brian. So first, it's going along as exactly as we expected, right? We're not forcing customers and doing anything unnatural and of course, customers into a specific timeline. We want to do this in a very customer-friendly way. Having said that, we're in discussions with all of top 20, and we're progressing that every month, every week that goes by, we progress those conversations there's a lot that they're excited about. Everything from our delivery or consistent execution, the migration progress that we've made - so there's a lot of really good momentum, also the kind of the roadmap of our products, the innovation roadmap, everything that we're doing. So the conversations are going very, very well. What we wanted to happen on the customers' time frame. And having said that, we expect more announcements in 2025 and I expect the vast majority of decisions, particularly in top 20, will happen by the end of 2026. So that's how to think about it. We're not forcing anything, but we're excited and we're excited that the momentum is in our direction, and we'll win most of the decisions. We still expect to win the vast majority.
Peter Gassner: One thing I'll add there is customers are starting to get aware of a concept of a red zone, right? You can't let this decision go too long because then you won't have enough time. So '25, '26 is reasonable for many customers depending on the complexity of what they're doing, maybe the early part of 2027 could be there. But after that, you really start getting into the red zone for most customers. So that's why we - even though we will support Veeva CRM all the way until 2030, when you're talking about change management with well over 10,000 people and functions and decustomizing and repointing integrations, it's not something you can do in six months.
Operator: And your next question comes from the line of Dylan Becker with William Blair. Your line is open.
Dylan Becker: Hi, gentleman. Paul, maybe pulling on that thread on the CRM front, you kind of touched on the accelerated innovation cadence, right? We've seen a number of new product releases within the CRM suite. I'm wondering how much that is kind of driving this appetite and interest, obviously, in the platform as well, too, with there's clarity kind of on the product roadmap, how that's helping kind of give confidence in this decisioning cadence maybe over the next two years or so?
Paul Shawah: Yes. So Dylan, the new product - the innovation roadmap in core CRM is one thing, and that's driving a lot of our momentum. But also, I would say the new products that we've announced in areas like Service Center and Campaign Manager and patient CRM. That's super exciting. And it's exciting for across all of our customers, top 20 all the way down to SMB because we are making really for the first time in life sciences this idea of customer centricity, simpler, easier, everything in one database. That's never been done before. So there is a sense of - we have a clear vision. Our customers see a path to getting there, and they see Vault CRM as the foundation to making that happen. So that's not the only part of the decision-making process, but it's a key thing, and it's - and we're bringing this customer centricity life. So we're excited about the new potential there. And then, of course, it unlocks potential to - for these new markets, right, new expansion opportunities to sell additional products as customers migrate over.
Dylan Becker: Okay. That's helpful, Paul. Thank you. Maybe for Peter and/or Brian here, too, going back to the topic of AI as well, too. You announced the direct data API and kind of the value of interoperability. Wondering if you're seeing any kind of accelerated momentum around kind of being able to build on top of the accessibility of your data sets. And maybe if that's the view externally, how you're leaning into kind of internal utilization too, if we think about kind of some of the margin strength you're delivering throughout the business? Thanks, guys.
Peter Gassner: Let's see. In terms of the margin, Brian, I'll leave that one to you. Yes, we are seeing good uptake of the direct data API. And we - as you mentioned, we recently announced that, that's going to be free to all of our customers. And the reason there is we want everybody building on that type of API. It's just a much better, faster API for many use cases. And we found a way to do it where it was not going to consume as many compute resources as we thought it was. So we're pretty excited about that. We're using it internally, for example, for connecting different parts of our clinical suite, different parts of our safety suite together, and our partners are starting to do it. We have more than 10 customers that are already doing it. Some of them are large customers. It takes some time because it's a different paradigm for integration. People have been using a hammer for a long time, and now you're giving them a jackhammer and they got to learn how to use it. But we are super enthused. It's a fundamental new type of API, where you can get like all of the data out of your Vault, super quickly in one S3 file every night and transactionally sound deltas every 15 minutes in one file. Nobody has that type of thing, and AI is just pumping up the demand for data everywhere, AI and data science. And overall, that's just the trend, as the compute power is get more and more accessible, people want that data in more and more places all the time. So I'm really pleased about what we're doing for the life sciences industry, because many of our core systems are Veeva and now their core systems are going to be enabled with this fundamental new AI, fundamental new API that's going to allow them to leverage their core data faster than any other industry. So, hopefully, we're doing our part to help the life sciences industry grow, and that will be good for Veeva.
Brian Van Wagener: And Dylan, this is Brian. You had asked the second part of the question around the internal use of AI and the extent to which that was contributing to margins, I think. And I think the short answer there is, it's an area that we're really excited about internally as well. We're building strategies around, but it's not a major contributor to the margin expansion that we saw in Q4 or in the coming year. So it's something we're looking into. We're building strategies around. It's not something we're counting on, though, to deliver on this year's guidance.
Operator: And your next question comes from the line of Stan Berenshteyn with Wells Fargo Securities. Your line is open.
Stan Berenshteyn: Hi. Thanks for taking my questions. Want to go back to the prepared remarks. I believe you called out positive momentum in a variety of products, including Site Connect, Study Startup, RTSM, eCOA. Now to me, that seems that these are precisely the products that a customer would want to buy if they were ramping in EDC. So my question is, are these add-ons being sold in parallel to when you're selling EDC? Or are these opportunities kind of emerging once these clients are starting to ramp their EDC? And therefore, is there more to come in that regard? Thanks.
Peter Gassner: Yes. I'll take that one. In general, I wouldn't say it's connected to EDC. EDC is kind of - in some ways, a special area of a life science company. It's pretty specific, pretty standalone. But if you look at Site Connect, Study Training, eCOA, RTSM, those come when a customer makes more of an emotional commitment that on two things. One, hey, we're going to invest in modernizing our clinical tech, because sometimes they may not want to do that. Sometimes they want to have a pay status quo. We've got other things going on. We don't want to move one thing, because it might break another thing. But - so they may be in that mode or they may be, hey, I'm going to invest in our clinical tech. The other one would be, we've decided Veeva as a very strategic partner. Maybe we're not buying all things at once, like that one customer did, but we've decided, well, that's where we're going. So when we do modernize, we'll give Veeva. So those two trends more than any type of EDC attachment is what's causing those other products to move.
Stan Berenshteyn: Got it. And then a quick follow-up on the top 20 announcement. I'm just curious, how long will it take for this to full year ramp in revenue? And can you ballpark the size of this contract once it's fully ramped? Thank you.
Peter Gassner: Yes. I won't - ballpark, the size of that contract. It's certainly a large deal. But I think it's not - there's only 20, top 20s and I wouldn't want to ballpark anything there. In terms of the full ramp, this would be one of our longer ramps because there's a lot of things in there, so you could consider this in the area of five years or so.
Operator: And our next question comes from the line of David Windley with Jefferies. Your line is open.
David Windley: Hi. Thanks for taking my question. Perhaps a good segue from the last one. Peter, we've recently surveyed clinical development folks about their tech stack, and they said, they're very fragmented today and would desperately like to move to an integrated solution, which is, I'm sure, music to your ears. I'm wondering in your answer about this all-in client and speed being a driving factor. Is that speed to get full implementation? Or is that efficiency and speed of their organization once they are fully implemented on a more integrated system like yours? And then part B of the question would be to what degree can you measure and use that as your selling point, how you're enhancing the efficiency of your clients when they do move to an integrated technology stack like yours?
Peter Gassner: On to that first question, really, what I was referring there is to speed of getting to value. So for example, there's quite a few products they purchased together. Now what it could have been instead and in a very quick - not very quick, but over a set of months really looking at, hey, you would like an integrated system, who is a partner we can depend on, who has these things, who have a track record of success. Okay, that's Veeva, let's go that that way. And was driven from a high level of the organization, not from within one of the sub departments. If the customer doesn't go that way, there might be an 18-month sales cycle for each of those applications, in each of those departments with a different start date with independent projects, plans and temporary integrations. . So you double your speed of evaluation and implementation when you go all at once. So that's the main thing that I was referring to, speed to value and cost, right, to eliminate these RFPs, these seven RFPs. Don't do that. Go with Veeva, make it easy. Now in terms of quantifying the value when they get in there, that's something that is not so easy because different customers - different measure value differently. Generally, what people do is - they will ask for references. They will ask each other, hey, we're thinking about using Veeva. Hey, I know this person that, that other company is using Veeva and I'll ask them, hey, how is they go and do they like it? Are they getting what they expect. So it's really that. And I think those are actually more accurate because those are leading indicators versus depending on a lagging measurement, and did you measure it correctly. So for better or for worse, that's how that usually goes.
David Windley: Got it. A quick follow-up on Compass. You in the past have used what I think are the magic words of compensation grade data. Where would you say you are in terms validating at that level a compensation grade data set that could begin to displace the competitor at that important level of consideration? Thanks.
Peter Gassner: Yes, that compensation is, incentive compensation grade sometimes we shorten it to IC incentive computation grade data. There's a few things. Our two main products encompass our patient and prescriber, patient data and prescriber data. For some types of products, they really - because of the complexity of the products, they're really paying on the individual patient data. So it's sometimes done with our patient data today. For the prescriber data, which is a more common way they'll pay on incentive comp, we're early in that cycle. We don't have anybody today using our prescriber data for incentive comp. I would say next year at this time, we will. But that's a pattern where they will view that overtime, hey, how's Veeva's projections on this month, on that month, how do they line up with what we're doing? Do we see stability and consistency? So that would take some time. But in the meantime, for prescriber, there's another great use for which is segmentation and targeting at the prescriber level. And sometimes there, we're going to have better coverage than our competitors. So it's a long, long road for Compass, but we're definitely starting down that path. So we'll see how it goes.
Operator: And your next question comes from the line of…
Peter Gassner: I guess one thing I can tell you is we're not giving up on it. That's for sure, right? It's just a matter of how long it can take.
Operator: And your next question comes from the line of Kirk Materne with Evercore ISI. Your line is open.
Kirk Materne: Yes. Thanks and congrats on a nice fourth quarter. I don't know if this is for Peter or Paul, but I was wondering if you could just talk about, any potential risk in terms of the amount of consultants needed to help your clients move on to Vault CRM. Or what that dynamic looks like in the industry right now as I know, as everybody is making a decision around this, they obviously need help making this transition. How do you feel about sort of the bandwidth being there to help them get over from the other system on the Vault CRM?
Peter Gassner: Yes. That's a good question. For Veeva, right, we have our products, our software data our software products, our data products, we also have our services team. And we have our consulting team. And then we have a network of partners. One thing to know about Veeva and it gets to core to, who we are? We don't rapidly higher up people and services in the boom times and then let people go in the bus times. What we do is we flex utilization. So when the boom times come, our services team knows, okay, you might be running hot. You might be running at 120% utilization for a while, but it won't last forever, just get through it, right? So our service team, I would say, is amazing and complex and complex very well. We also see that in our partner ecosystem like Accenture. They are the masters actually to meet demand, much more so even than Veeva, right? And they can do that scale. So I really honestly don't worry about that. They have a lot of Veeva expertise, Accenture does. We do too. Both of us kind of flex and we're not the only one. So I don't minimize the hard work. And your question is very good. We can flex. Also, we're automating a lot. The data migrate. We've put a tremendous investment in that. So the actual data migration part, which is - and it's not just the initial migration. It's the delta migrations, et cetera. So that's a lot of work, which is largely going to be automated in here because we control both the source and the target.
Kirk Materne: Okay. And then just one last one to you, Peter, yes, obviously, in the Life Sciences industry, people are thinking a lot about tariffs and how they have to move things around, potentially in terms of their supply chain. Do you worry at all about those, kind of decisions distracting from, say, signing new contracts with you all? Or where do you think that stands right now? I know it's sort of in flux, but I was just curious on your opinion on that? Thanks…
Peter Gassner: Yes, it's very early, and we think that there's different announcements every day, and Paul alluded to that. If there ends up being a lot of disruption that can cause a lack of focus and delay contracts. We haven't seen that yet, but that could happen. It's just too early to know whether that's really going to happen. We've seen no sign yet. And again, what Paul mentioned is if that were happened, the nice thing is it really just delays things. It may push it out a little bit. It's not a consumable product where you lose the opportunity. I hope it doesn't happen, but we just don't have enough data yet to know.
Operator: And your next question comes from the line of Anne Samuel with JPMorgan. Your line is open.
Anne Samuel: Hi. Thanks so much for the question. You highlighted in your prepared remarks that safety was an area with a lot of opportunity for AI innovation. I was hoping maybe you could just speak to kind of why that is - and maybe just expand on that, maybe provide some examples of what kind of technologies you might be able to use there? Thanks.
Peter Gassner: I can take that one. I guess I'm doing a lot of talking today, but it seems to be a lot of product-related questions, Brian, and I love that. Well, it's not that complicated in the safety area. We are the first true cloud integrated set of safety applications. So the core safety processing, safety signaling, the safety work venture reporting. Nobody has had that in the cloud before. And when you have it in the cloud, there's benefit. There's benefits of performance. You don't have to manage the infrastructure. You don't have to manage the upgrade, you can configure it. So that's probably honestly, the main thing. There are some other benefits with the Veeva system. I think it's a better safety system than what's out there. There's different features and functions, things like that. For some, they are really enthused about the connection into clinical, which is a real cost saver. But I'll bring it back to the number one basics is they'd like to have a cloud-based safety system that's high quality and finally, they can have it.
Anne Samuel: Great. Thank you.
Operator: And your next question comes from the line of Ryan MacDonald with Needham. Your line is open.
Ryan MacDonald: Hi. Thanks for taking my question. Maybe I'll start with one for Brian, just to get them in on the action here. Brian, as you think about the strong op margin guide for it to start the year, can you kind of call out maybe the areas where you expect to get sort of most incremental leverage? It sounds like R&D is going to be a continued area of focus from an investment perspective. But how should we think about sort of those incremental leverage plans?
Brian Van Wagener: Hi, Ryan, thanks for getting me in here. Peter was on a role, though, but I'll do it best to jump in. So it's really pretty broad-based. I mean I think, first, you see that there's a bit of improvement on the gross margin side, and that's part of kind of a secular increase as we grow in R&D and move more of the business over to the Vault platform and then from better efficiency in the services business. And then beyond that, on the OpEx side, it's quite broad-based. It's just us looking to be efficient and execute better across the business. That's in our sales teams, it's in our marketing teams, it's in our product teams to looking to be efficient, effective and execute well across the business.
Peter Gassner: If I could just tell you a little bit of why, a why on that - as we get more products, as the field tends to get a little bit more efficient, right? There's relationships you can leverage. Sometimes there's a broader decision made rather than fixed decisions. So that's where efficiencies in the field come. Also, every year, and we have to keep it up, but every year, if we execute well, we develop more trust. And when you develop more trust, that translates into more efficient sales because communication is higher fidelity. So that's on the sales side. On the product side, it's more - there's more of a mathematical reason. The more products we develop on Veeva Vault, the more efficient we get, the more economies of scale we drive out of the platform. The better the platform gets and the more economies of scale. So we have a platform. If we have 20 applications on that platform, it's an efficiency of one thing. If we have 40, it's an efficiency of another. And if we have 80, it's a whole efficiency of another thing. So that one is just more mechanical on that side.
Ryan MacDonald: Super helpful color there. Paul, maybe a follow-up for you. Crossix obviously continues to perform really well. But as you're getting into the new calendar year, we started to hear maybe a little bit more sort of pull forward of spend like to early in the year or more upfront purchasing around marketing spend. Are you seeing similar trends within Crossix at all? Or any reason to think that we see a greater mix of sort of upfront or sort of beginning of the year spend versus years past? Thanks.
Brian Van Wagener: This is Brian. Why don't I pick up that one, Paul? So on Crossix, obviously, very pleased with the results that we had last year. It was a major driver of the outperformance that we saw in commercial throughout the year and feeling really good about the trajectory there. I think no change that we're seeing to the overall shape of revenue in Crossix, if you're asking about linearity there. We saw a strong close to Q4 and expecting continued growth out of that business in the year ahead.
Operator: And your next question comes from the line of Craig Hettenbach with Morgan Stanley. Your line is open.
Craig Hettenbach: Yes. Thank you. Peter, just going back to the commentary around AI and the strategy there. Any milestones to watch for this year as that business develops? And then also from a customer base, I think last year, there was a bit of a pause as customers are evaluating new technologies like AI, like where are their heads at in terms of what they're most focused on today?
Peter Gassner: The milestones to look for are the releases of our CRM bot and our MLR bot and the success we start having with customers. Those are really the milestones. And it could be new products that we announced as it new AI solutions. So those are the things to look for. And in terms of - I believe we called it before AI disruption, maybe that was 18 months or so a year ago. And I think that's largely behind us. Our customers have settled into what AI is and what it does. They're still doing some innovation projects, but it's not consuming them or distracting from the core work. So I think we're largely through that area of AI distraction now.
Craig Hettenbach: That’s helpful. Thanks.
Operator: And your next question comes from the line of Gabriela Borges with Goldman Sachs. Your line is open.
Gabriela Borges: Hi, good afternoon. Thank you for taking my question. Thanks for all the detail on the call. Paul, I wanted to follow up on your earlier comment on commercial. You mentioned that there are several customers that you've been speaking with that are looking to make decisions in 2025 and ideally before the one in 2027. The customers that you're talking to, what do they tell you are there reasons for hesitation? Meaning if they're telling you, hey, we're not ready to make a decision yet. What are some of the reasons that they tell you that is? And what do you do then to help them feel better about making a decision, or to help them along in the discount rate as well?
Paul Shawah: Yes. Hi, Gabriela. Every customer is a little bit different in terms of their process and the internal process they have to go through. Some companies have to go through a formal RFP process as an example. Other companies are really, frankly, focused on other priorities, right? It may be something related to a launch of a medicine coming up in 2025 or 2026, and they want to kind of focus their resources there and then think more deeply about the CRM decision. So I would say there's no single answer. It varies - certainly varies by customer. And I think each month that goes by, we continue to hit new milestones, which makes the case even more interesting and more compelling. So we're focused on - our strategy to deal with that is to continue delivering, deliver new products, deliver innovation, deliver on the CRM bot that Peter just talked about, deliver on the migrations. And that's our answer is delivering. Our customers are looking for delivery. They're not looking for kind of big bold statements hype, that sort of thing. So - again, we're not forcing them down a path and we're - I think it's a customer-friendly way of approaching the market.
Gabriela Borges: Absolutely. Thank you. Peter, the follow-up is for you. You made an earlier comment on your thinking around horizontal applications longer term and Version 1 versus Version 2. I'd love to hear thoughts if you're willing to share them. What do you think the limitations are some of the Version 1 cloud SaaS applications today? And where do you think Version 2 from an innovation standpoint could really find? Thank you.
Peter Gassner: I don't think there's any one particular area. I think there's a core set of things of better, stronger, faster, right? Accumulation of five, six, seven, eight things that have been core learnings and then putting that together, and so when you put those together, it has a compounding effect, I would say that. Also, AI will change the user interfaces on the operating systems over time, not tonight, but sometimes over the next five years, there'll be some fundamental change just in the way that the graphical user interface or the browser-based interface change things. I think a platform that's designed with that in mind that has - that knows - yes, it's going to be used as a core system of record. Some of us have heard this thing from the Microsoft CEO about, these system of record applications, SaaS applications are going away. I don't believe that. I don't think any of our customers are moving their SAP application anytime in the next 100 years. But there is going to be a way to use AI to dip into multiple of these applications and add value, and that's going to be a critical component. I think the newer SaaS platforms are going to be designed with that in mind, because it's obvious that's coming. I think it's pretty hard to retrofit, pretty hard.
Operator: [Operator Instructions] And your next question comes from the line of Jailendra Singh with Truist Securities. Your line is open.
Jenny Cao: Hi. Thanks for taking my question. This is Jenny Cao on for Jailendra Singh. Just a quick question on your guidance. I think your guidance assumes no major changes in the macro environment, and - but I think fiscal 2026 guide reflects maybe a little bit of growth deceleration, particularly in the subscription business from 20% growth last year in fiscal 2025 to 13% growth this year, climbing guide. Can you help us breakdown the key factors and the movie pieces there?
Brian Van Wagener: Hi, Jenny, so first off, on the guide, you're exactly right. We've not factored in any macro changes into the guide. And as Paul touched on, obviously aware of while the shift in government policies. There's a lot of discussion around it. But - we just haven't seen any impact yet in our customers' decision-making. So it doesn't reflect any change in macro. From a subscription perspective, One thing to remember is that last year, we still had the impact of TFC. We're celebrating over here. As the last year, we have to talk about TFC. But we were normalizing out the TSE impact. And so normalizing for that subscription growth in FY 2025 was 15% and then excluding FX, it's about 14% this year. So it's a minor deceleration. It's mostly driven by commercial and within commercial, it's Crossix. And that Crossix deceleration is mostly a function of last year's very strong outperformance making for a hard year-over-year compare. So we're feeling really great about the momentum of the business, about the execution of Veeva teams seeing very strong growth in R&D and good growth in commercial as well.
Operator: And your next question comes from the line of Jeff Garro with Stephens. Your line is open.
Jeff Garro: Good afternoon. Thanks for taking the question. I want to ask another one on the new CRM pulse product. And clearly unique in how Veeva Systems are originally the data there. I want to ask about the differentiation from the global scope that you are already offering on launch. And then release mentions additional countries being added to the scope. And it looks like you have most of Europe want to follow up on adding additional Asian countries and how much of a catalyst that could be down the line? Thanks.
Peter Gassner: Yes. I'm very excited about Veeva Pulse. This is Peter because this is where we're generating the post data - privacy safe post data at the small groups of physicians from the activity data in our CRM products. So that's revolutionary, and that's going to help the life sciences industry be more efficient and effective because this is used for segmentation and targeting. In other words, understanding which a pharmacy company has a field force of a certain size in a certain country, and they want to be very effective on where do they tell those people to go. So they do what's called segmentation and targeting. But they don't have any feedback into how the industry does it, so they're not able to catch your own internal errors that creep up over time. So with Pulse, they can get a privacy safe industry view, what - of the urologists in this country, who did the industry generally call on? And am I calling on them and in what way, what types of access patterns?. So that's what it's used for. It's very unique, and it's going to be a great complement to CRM and to data cloud. The companies we'll add are, you're right, some Southeast Asian countries and then also Japan. And we may add in Europe country or two, one of the other Europe countries or two, we'll see by 2026. It's early. We've signed our first deal actually for Pulse sounded roughly right before it was available for a top 20 pharma in the U.S. And it's interesting to know, that's one of our first products where the first deal was actually with a seven-figure deal. So Pulse is a very interesting product and unique product from Veeva.
Operator: And your next question comes from the line of Steven Valiquette with Mizuho Securities. Your line is open.
Steven Valiquette: Great. Thanks. Yes. Most of my product questions were answered. So maybe just a financial question here, with the fiscal 2026 EPS guidance coming in well above Street consensus, the revenue growth kind of more in line you did call out that 1% revenue growth headwind from FX, which was probably not baked into the Street View before today. So it seems like ex that, guidance - Rev Guidance also about the Street View. But really, my question is, can you just remind us how much of that FX revenue headwind falls to the bottom-line versus some sort of natural offsets in the cost lines that might mitigate some of that? Thanks.
Brian Van Wagener: Hi Steven. So it is primarily a revenue side impact. There's kind of a natural hedge built-in on expenses because we have some expenses that are not denominated in dollars as well. And so there's not as much of an impact on operating income. There is a bit of a revenue headwind, but it shakes out on the op income line.
Operator: And your next question comes from the line of David Larsen with BTIG. Your line is open.
Dave Larsen: Did I see in prepared remarks that you won 20 Vault CRM clients in the quarter? And I think it's up a lot. It was like five, 14 and 13. Just any color there would be very helpful. Thank you.
Peter Gassner: Yes. David, that's in fact, right, 20 Vault CRM, new customers. And think of most of these companies as first, the vast majority of them in the U.S. market, a small number in Europe and then, most of them small midsize companies the vast majority selecting their first CRM system. So they're betting there. They want to launch. They may be starting in the medical area, moving into the commercial space, getting ready for their launch. And they want something that's proven and the best solution. And we're winning virtually all of those deals. So yes, we did well there. This is - that's a chunky number. It's an unusually high number, but we're virtually winning every one of us.
Operator: And your next question comes from the line of Andrew DeGasperi with BNP Paribas. Your line is open.
Andrew DeGasperi: Hi. Thanks. Maybe on the trial starts, we've seen an inflection since October. Just in terms of how that's growing. And I was just wondering, is that part of what's giving you confidence in terms of the R&D growth for the year? And just any comments on that would be great. Thanks.
Paul Shawah: Yes. On the trial starts, it's not - our confidence in our clinical performance is not related to that. Remember, the way to think about our Clinical business is that, most of our contracts are enterprise license agreements, particularly as you look at the enterprise side, which is the vast majority of the contribution to clinical today. So given that their enterprise agreements, they're not really impacted by clinical trial volumes, whether that goes up or down. So that's not really the driver. We're just - we're performing well broadly across all the clinical. And you heard Peter talk about a lot of the reasons why that is.
Operator: And your next question comes from the line of Allan Verkhovski with Scotiabank. Your line is open.
Allan Verkhovski: Hi guys. Thanks for squeezing me in here and congrats on the strong end of the year. Peter, it's interesting to hear you say how you could be through the period of customers being distracted by AI. Can you talk about kind of what your top learnings were in the past three months and the conversations you have with CRM customers? And to just kind of close the loop here on AI, just how important is having a strong AI product roadmap in customers' decisions whether or not to move to Vault CRM? Thanks.
Peter Gassner: So I guess what I've been seeing, and I think the learnings and the customers is that AI is one part of a technology strategy that is quite - many of them did quite a few experience in quite a few areas and likely so, they wanted to really learn fast and see where they could apply things. And what they're finding is they need to be focused, right? They need to focus on a few areas that can really draw out - really return on investment, and they can't ignore the core capabilities and just the execution that matters. So they're kind of segregating things, doing a little bit less experimentation and segregating that. So, and I think that's normal. That's about part of the process. And in terms of the Vault CRM about AI and how that plays into things? Well, it will depend on the size of the customer. For the smaller biotech, they have a lot of things going on, and they get a lot of things from Veeva and boy, their first launch is critical. It will be a make or break for their company. They will either go or it will go out of business. There, they don't want risk and they don't want messing around. They can't they go from an unproven product on Salesforce.com and sort of some sort of kind of custom build and then piece it together with content and this and that. They just don't have the people. So there, it's - I get Veeva - that's one thing I don't have to worry about, and I'm moving on. In the larger customers, that's where I would think a couple of things. AI is certainly a big part of it. And what we believe is the case for Veeva CRM is, there's two things. One, Salesforce.com doesn't have a product yet. So you're really signing up for sort of a custom build, it takes a long time and a certain IT skill set. Most customers don't want that. Some customers do, but most customers don’t want that. And then the second, it turns out Veeva is the fastest path to AI that you can use in CRM because it has to be done in the workflow of what you're doing. This is not some generic AI. This is AI for pre-call planning for compliance, for how to - for the things that a pharmaceutical rep does in a compliant way based on the data sources that are needed in CRM. So Veeva is the fastest path to AI. And so I think that's why Veeva Vault CRM is appealing.
Operator: And your next question comes from the line of Charles Rhyee with TD Cowen. Your line is open.
Charles Rhyee: Yes. Thanks for taking the question. Peter, I wanted to follow up, I think it was David's question earlier and maybe ask it in a slightly different way. obviously, in the last year plus, we've seen many large pharma companies undertake significant restructurings of their development processes and in many cases, taking more of those capabilities in-house and moving to more of a functional FSP model of development, which certainly should give them greater control and gain efficiency through standardization. Has this been maybe part of the driver of growth for Development Cloud or maybe is the reverse finally having something like Development Cloud available to them allows them to start this process to take more in-house, whereas in the past, maybe the efficiencies weren't there for them and so they kind of maintain these more broader CRO relationships and really outsourcing the development?
Peter Gassner: Yes. I think in an interesting way, I think the Veeva Development Cloud has played a small part in the move from the large pharma to do more functional outsourcing rather than full service because they're able to get a bit more efficiency and have an integrated tech stack. So they want to take advantage of that. Now that doesn't apply to many small biotechs, right? They need the speed and they use CROs, and they want the tech and the process and everything altogether. So I think it's, in general, I wouldn't say it's driving the large percentage of the Veeva Development Cloud uptake, but it's helping a little bit and Development Cloud is contributing to the functional outsourcing a little bit versus the full service.
Operator: And your final question comes from the line of Peter Griffith with Citi. Your line is open.
Peter Griffith: Hi, it's Per on the line here for Tyler Radke. Congrats on the great quarter. So EDC has been really strong here over the past few years, and it still seems like there's a good opportunity for attach rates in clinical. I believe you touched on a bit, but I would like to get some detail on what products you usually see customers choosing to adopt in the clinical suite after choosing EDC. Just trying to understand if there's a typical pathway for product adoption or if it varies by customer? Thanks.
Peter Gassner: It is going to vary by customer. Oftentimes, our EDC and our CDB, our clinical database, they go together. Then I think the typical things after that would be, well, they start looking at eCOA a little bit more. I think it would be a relatively unusual for a customer to go with our eCOA before our EDC because our eCOA is - it started much later than our EDC and it's not as mature. And those two departments are highly close to each other, the eCOA and the EDC. So I think EDC success will be a good indicator of eCOA success. And I don't think it influences the other ones too much really. I think those are independent groups when you look at RTSM, study training, Site Connect payments, those are more influenced by the eTMF and CTMS.
Operator: And ladies and gentlemen, that concludes our question-and-answer session. I will now turn the conference back over to Mr. Peter Gassner for closing remarks.
Peter Gassner: Thank you, everyone, for joining the call today, and thank you to our customers for your trust and partnership. And thanks to the Veeva team for your outstanding work in the quarter and year. You're the best, and I love working with you. Thank you.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.